Operator: Good day, ladies and gentlemen, and welcome to the 2U, Inc. First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time.  As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Ed Goodwin, SVP, Investor Relations. Sir, you may begin.
Ed Goodwin: Thank you, operator. Good afternoon, everyone, and welcome to 2U’s first quarter 2019 earnings conference call. By now, you should have received a copy of the earnings release for the company’s first quarter 2019 results. If you have not, a copy is available on our website, investor.2u.com.
Christopher Paucek: Thanks, Ed. Here we are five years into our public company journey. As you can see, we had a very good first quarter with revenue of 122 million, 32% growth over Q1 2018. Cathy will take you through the financials in more detail. A lot has changed in the marketplace and at 2U over the past 11 years. But one thing has remained constant, 2U continues leading the way in the digital transformation of higher education alongside an amazing and growing portfolio of great universities. As we enter a new chapter for the company, we're excited about the strategic direction of our business. More people at more stages in their lives are investing in themselves, in their futures, upscaling and rescaling along the career curriculum continuum, to meet changing demands of today's digital economy. We see our partners as central to this new reality of lifelong learning and 2U is better positioned than ever to help them seize the opportunity and deliver life changing outcomes for students at every stage of their career. More on that later.
Cathy Graham: Thanks, Chip. 2019 started off with a strong first quarter. Revenue came in nicely ahead of guidance, accompanied by better than expected lost measures. At 122.2 million, first quarter revenue exceeded the prior year period by 32.4%. In our graduate program segment, year-over-year revenue growth was 29.3% for the quarter, with revenue from short courses growing 54% over the same period of 2018. Note that this is the last quarter in which we will be reporting our short course business as a standalone segment. Once we close the acquisition of Trilogy, we expect to combine the boot camp business with our existing short course business into a segment we have now renamed alternative credentials. In our graduate program segment, revenue growth continued to be driven by an increase in full course equivalents. For the first quarter, FCE showed a year-over- year increase of 32.7% offset by a 2.5% decline in average revenue per FCE. The decline in average revenue per FCE was driven primarily by a combination of admit rate related FCE declines in larger higher priced programs and higher FCE growth in lower price programs between the periods. In our alternative credential segments, which in first quarter consisted solely of our short course business, revenue Growth continued to be driven by increases in both FCEs and average revenue per FCE, reflecting new course launches and a continued shift in course mix towards higher priced US and UK based courses. FCE showed a year-over-year increase of 52.1% for the first quarter, enhanced by 1.3% increase in average revenue per FCE. Looking at our first quarter lost measures, all experienced a year-over-year increase in loss and decrease in margin, driven primarily by our previously announced decision to increase graduate program marketing spend during the period. Relative to expectations, this additional spend was offset somewhat by temporary savings related to projects that were slowed or pushed off as we focused on the Trilogy acquisition. At 21.5 million, first quarter net loss widened year-over-year by 6.7 million, and the corresponding margin declined by 1.5 percentage points. Note that relative to our prior expectations for the period in addition to the cost timing shifts already mentioned, net loss benefited from lower than anticipated stock compensation expense and higher than forecasted interest income, but was impacted by 1.9 million in unanticipated transaction costs related to the pending Trilogy acquisition. After net adjustments of 12.9 million, first quarter adjusted net loss was 8.6 million or 7.1% of revenue. This was a 2.5 million and half a percentage point year-over-year decline to adjusted net loss and adjusted net loss margin respectively. In addition to the timing shifts and certain expenses, adjusted net loss also benefited from the higher than expected interest income that also impacted our net loss measure. After further net adjustments of 5.4 million, first quarter adjusted EBITDA loss was 3.2 million or 2.6% of revenue. This represented a $1.7 million decline in adjusted EBITDA loss, and a one percentage point widening in adjusted EBITDA loss margin over the prior period. Relative to expectations, adjusted EBITDA loss largely benefited from pushing project spend out into later quarters as we focused on the Trilogy acquisition.  From a balance sheet perspective, we ended first quarter with 423.6 million in cash and investments. We also had 70.3 million in receivable balances, 33.1 million of which was related to one University partner, which paid that balance in April. Now looking forward, we are providing guidance for second quarter and full year 2019, before giving effect to the Trilogy acquisition that we now expect to close in coming weeks. I will give you additional color around how we now think Trilogy will perform this year after discussing the existing business, and we expect to formally update our guidance as soon as practicable after closing the transaction. Now, as Chip discussed in detail, we are seeing some decline in expected graduate program enrollments beginning in the second quarter and continuing through the rest of the year. As you're well aware, our graduate program business is a long cycle accumulating revenue business and enrollment changes in any period impact revenue for multiple future periods. Therefore, as a direct result of softer graduate program enrollment expectations, we’re bringing down our 2019 revenue guidance in increasing amounts over the remainder of the year to account for what we now believe will be a mid-20% year-over-year growth rate in this business line for full year 2019. We currently expect consolidated revenue of between 124.3 million and 125 million for the second quarter and 534 million and 537 million for the full year. At their midpoints, these ranges imply year-over-year growth of 28% for the quarter and 30.1% for the year. Based on these expectations, and particularly on the accumulating impact to revenue of our current enrollment forecasts, we now expect that approximately 48% of second half 2019 revenue will be recognized in the third quarter. With regard to our earnings and loss measures, you'll recall that we reduced our margin targets for 2019, so that we could increase our marketing spend to attract students that we felt we were leaving on the table. While knowing what we know today, we'd likely rethink that decision. We have already deployed a large portion of that incremental marketing spend in the first and early second quarters, so we'll still feel the margin impact for the year.  In the longer term however, we believe that by following the lead of our university partners and stabilizing our graduate programs at slightly lower per program enrollment expectations as they hit scale, we may give up a few percentage points in consolidated revenue growth, but we can more reliably drive towards target margins.  Beginning in 2020, we expect that our business as it will be constructed after the acquisition of Trilogy, can return to delivering consistent year-over-year low single digit margin improvement as measured at the adjusted EBITDA level. In our current view of full year 2019 earnings and loss measures, you'll see that we expect to generate cost savings to offset the anticipated decline in revenue, leaving our adjusted earnings and loss measure forecasts largely unchanged and driving a slight increase in the corresponding margin expectations. We believe we can drive this result primarily because our servicing costs are largely variable. There should be some marketing spend reductions related mostly to lower forecasted admit rates. And we anticipate getting additional cost efficiencies from accelerating already in flight projects that bolster our ability to scale. We now expect a net loss of between 36 million and 35.5 million for the second quarter, and between 79 million and 77.2 million for the full year. Note that our expectations for full year net loss have improved somewhat from our last guidance, due primarily to a decrease in expected stock based compensation expense related to the expiration of certain performance shares, and the small increase in expected forfeiture rate.  However, also be aware that we have not included any estimate of remaining transaction related costs or adjustments that will impact net loss, but be excluded from our adjusted earnings and loss measures. We will include these items when we update our guidance to reflect the Trilogy acquisition. We now expect an adjusted net loss of between 20.8 million and 20.3 million for the second quarter and between 20 million and 18.2 million for the full year. We also expect an adjusted EBITDA loss of between 13.1 million and 12.6 million for the second quarter and positive adjusted EBITDA of between 12.5 million and 14.3 million for the full year. In looking at the distribution of our adjusted earnings and loss measures across the second half of the year, I want to remind you that cost seasonality typically improves margins in the fourth quarter of each year. And we expect this pattern to hold true for 2019. Now, while we haven't closed the Trilogy acquisition and aren't ready to include it in our guidance, I can provide some updates and additional color on what we now expect for that business for 2019. As we said, when we announced the transaction, for calendar year ‘19, we expect that Trilogy will deliver 135 million in revenue on a standalone basis. Assuming that the transaction closes in the second half of May, our preliminary expectation is that we would consolidate between 60% and 65% of annual revenue before applying any purchase accounting adjustments.  We do expect to have a material adjustment to the revenue we can recognize in the second, third, and to a lesser extent fourth quarters, but the magnitude and per period impact will not be determined until after closing. And additionally, we anticipate generating a one-time discrete tax benefit from the acquisition. Even before the magnifying impact of purchase accounting adjustments, we do expect that Trilogy will be dilutive to our earnings measures and margins for 2019. We’ll provide additional detail about the impact to 2019 periods, as well as additional information around the acquisition becoming accretive to our adjusted EBITDA measure in 2020 when we update our guidance. In the longer term, however, we now believe that our alternative credential segment has constructed to include both the short course and boot camp businesses can achieve long term steady state adjusted EBITDA margins in the high-teens to 20% with boot camp margins being somewhat higher than short course margins. So while we aren't exactly where we expected or wanted to be for the remainder of the year, we're still in a good place. We have a business that we expect to continue growing 30% even as it passes 0.5 billion in revenue. We're confident in our ability to return our business to a steadily improving profitability profile. And we're about to complete an acquisition that not only expands our ability to put universities at the center of career enhancing education, but accelerates our path to 1 billion in revenue, probably by a year.  Okay, so the path isn't always a straight one. But we have more going right than wrong. For the long run, I wouldn't bet against us. Chip?
Christopher Paucek: Charting the course for the company and our sector is a challenging job. We have the responsibility of the dual bottom line, we have to hit our numbers and deliver societal benefit, not through charity, but through the actual delivery of the business. Looking back in the past several quarters, I want to tell this community I've been thinking quite a bit about our positioning with the street. We've always put students first. We have historically and that won't change. It has become clear in the rear view mirror that we were prioritizing growth bit too much based on the feeling to need to meet past expectations. I should have seen these admit challenges more broadly, and simply taken some air out of the balloon. It would have been better for my team and my clients. I didn't do that, call the lesson learned in the life of public company CEO.  Moving forward, we now have exciting new growth levers, and our Grad business is still growing really nicely. And probably more importantly, appropriately, given the positioning and needs of our clients. We have a really profitable and powerful engine of social mobility, and one that I'm personally committed to steering to increasing margins overall. I think we've transformed 2U with our strategic M&A. I think we're solidly set for the long term. I'll be out in the road the next couple of weeks to meet with you about our prospects. I'm excited to begin that conversation now. With that, we're happy to take your questions.
Operator:  And our first question comes from the line of Ryan MacDonald with Needham and Company.
Ryan MacDonald: Thanks for the update. I guess starting with the updated guidance, can you maybe unpack a little bit more just the contribution across the three kind of areas of the guidance change between partners getting more selective, the mid funnel and then the slowness or the delay in the new cohort?
Christopher Paucek: Well, we're not going to -- we can't go through intimate details about each. We sort of put them -- the selectivity question, we spent more time on for a reason, it's pretty significant. The cohort, it's interesting, the UCDavis MBA has started super strong, sort of validating the fact that we obviously wanted it for a reason and expected originally to be in ‘18. And then it went through a pretty long approval process that we didn't expect. So that's a good chunk of students right there that just comes out of the forecast. And then the summit rate sort of mid funnel stuff is -- it's really quite a long list of individual program related details, and then a couple that go across the system, but we're not overstating on that one when we say it's really -- it's a lot of different things that are often program specific. So I would say there's a reason we focused more on selectivity. That's a big component of it. And that more than anything is what caused us to sort of call it and effectively reset this segment.
Ryan MacDonald: Got it. And then just a quick follow-up. I think when you looked at sort of the initial launch cadence for 2019, there is a, I think, a fairly large group of new program launches in the April and May timeframe. To the extent that you can, can you talk about sort of what the trends you're seeing for the enrollments for those new program launches recently?
Christopher Paucek: We're getting there in terms of them getting up and running and launched. So, I would say that nothing out of the ordinary, it's -- they're launching. I would say, the one that is sort of in there, that's the most -- that was the most unknown is the -- our first Non-US MBA, the UCL MBA. If you look at the two MBAs that are in that cohort right now, UCL and UCDavis, they're now number one and number two in first month prospect volume. So they launched very strong. The difference between the two and the reason that we aren't willing to look at UCL sort of exceeding forecast in that particular program is that it's our first program in the UK. We have GDPR front and center.  And there'll be a variety of different things about that program in terms of how we handle the admissions process, in part because of GDPR. We have the Chief Privacy Officer, the former Chief Privacy Officer of the Federal Trade Commission is a two year employee. And so, we're sort of prepped for and handling GDPR as we speak, so that one -- prospects have started great, but we're just not willing to sort of take outsized credit for it yet, because candidly, it's brand new and we got to walk before we run in the UK. Beyond that, they're launching, I'm not sure, they seem fine. So it's -- this is more of a story of, unfortunately, we had multiple cohorts expected for the one that we really thought would be the big one.
Operator: Thank you. And our next question comes from the line of Sarah Hindlian with Macquarie Capital.
Sarah Hindlian: Thank you, Chip and Cathy, and for the honesty on what's impacting the Grad business. I think that's appreciated. My first question is for you, Chip. Chip, I think it would be really helpful, given that you've called out pretty strong marketing conversion still at the top of the funnel, and consistent student demand, if we could talk about the other side of the model. And that -- by that, I mean, are you seeing any potential pressure on contract economics as deals are in the pipeline?  And then my second question is for you, Cathy. Cathy, I was hoping you could walk me through some of the puts and takes in terms of the deceleration in growth around Trilogy’s initial outlook for ‘19.
Christopher Paucek: So, Sarah, thank you. So I would say, first of all, the new deals and signing new deals really has no direct relation to what's happening in our forecast for the street. It's really, can we deliver for our clients? Do we deliver something that satisfies their needs? And interestingly, this sort of reset does align us really well with our clients, versus the opposite of pushing too hard on driving a particular growth forecast. We just can't think that way. So, they're really not related. In terms of new programs economics, not really. I mean, to be clear, everyone is in negotiation. And of course, everyone in any negotiation would always like something cheaper. That's not new news to anybody for negotiating anything whatever you're buying, but we’ve seen no sort of sea change there at all in terms of the way we're thinking about new programs, and how they're being negotiated. And therefore, like what the rates are. So we're still well in our target ranges for new signings. 
Cathy Graham: And Sarah, with regard to Trilogy, obviously limited in what I can say is, we haven't even closed that transaction yet. But I guess what I would say is, at an announcement we gave and we've reconfirmed what we think that their standalone business will be. And a lot of that is based on their forecast of the businesses they have today and the kinds of courses that they are running. We don't know about what purchase accounting adjustments will do to the kind of revenue that we will get to recognize, so pulling that out, I think that we have, we've looked at what we and certainly the management of Trilogy believe are the things that are pretty much baked into their forecast. And obviously, they have some initiatives that they're working on. But we would not want to be to taking credit for all of those at this point.
Operator: And our next question comes from the line of Brett Knoblauch with Berenberg.
Brett Knoblauch: I was wondering if you could just dig in a little deeper with this selectivity you're seeing and I guess in particular at the more expensive programs and why they're choosing to reduce their intake.
Christopher Paucek: So Brad, the selectivity has nothing to do with the expense level of the program. To be clear, we have seen it happening system wide, really irrespective of what their price is. So those are not related points. We're at a point now where we felt like we just needed to call it and get ahead of it because we are seeing this trend. Now, obviously, this is something that historically has moved around a lot. And, we've had certain quarters where we've said things like, well, people tell it was a really surprising quarter, we say, Well, everything kind of went to the positive. In general, the everything tends to be this. And now that we're in a period where it seems to be going against us over some time period, we felt like we just sort of needed to get ahead of it. So that's where we are.
Brett Knoblauch: Okay, and then you just touch on the UNC and USC programs, I know you had -- most of those problems being behind you, but are there any additional problems this year or is that mostly in the rearview mirror?
Christopher Paucek: Yeah, I would say, managing the relationships are critical. But, candidly, those two programs are not the reason that we're here. Now, clearly, they were a part of the -- admit rate was definitively a huge part of the USC social work program. But my point is our change to our expectations going forward. And remember it’s a forecast. Interestingly, our Q1 was outstanding. We're just seeing this across the system and felt like, we've got a pretty predictable model. When that's positive, we tell you about it. Honestly, when it's not, we tell you about it. And that's what we're doing now. So we feel like we've got enough data for the rest of the year to be able to call what we think will result in softness in the segment due to the admit rate. Interestingly, UFC social work and UNC MBA are actually up in this period. So they're not related to -- they're not part of the reason that we are giving this new set of expectations.
Operator: And our next question comes from the line of Rishi Jaluria with DA Davidson.
Unidentified Analyst: Hi, guys, this is Hannah on for Rishi, thank you for taking my question. First off, I was wondering if you could just expand on the second factor you mentioned, the rate at which applicants are submitting applications. I'm not sure if I understand correctly, how this is impacting growth. So can you just walk me through that?
Christopher Paucek: So we're getting a tremendous amount of activity top funnel, and we take people through the application and we have people that are pretty deep into the application and for a variety of programmatic reasons. And there's a really long list that has softened on us. So therefore, the actual percentage of people submitting their application to be reviewed is lower than it was in our prior forecast. Is that helpful?
Unidentified Analyst: Yes, that is helpful. Thank you. And then, I was wondering if you could provide information on international performance in the quarter. Anything you saw or noteworthy?
Christopher Paucek: On international performance?
Unidentified Analyst: Yes.
Christopher Paucek: Well, on the Grad side, it's all very new. So we have UCL MBA is really our first in Europe. And then we have the moderate tech MBA that literally I think we have like two days of marketing on it. We're excited about both, but they're just -- they're brand new. As I mentioned earlier, the UCL MBA looks very positive, but it's too early for us to really give any significant color on it. We are gearing up in international opportunities, but just not a lot to put on the board yet.
Operator: And our next question comes from the line of Corey Greendale with First Analysis.
Corey Greendale: So a couple of questions. On the trend in selectivity, so I know a lot of things can impact that. But are you pretty -- are you feeling good that sort of where it's at now is stable or do you see this as a trend? And are you assuming sort of increases in selectivity in the guidance or what are you assuming?
Christopher Paucek: So we obviously -- given that we don't control it, I can't tell you that it's -- that I'm positive that somebody doesn't make a change to something. But we feel very good candidly about where we've reset this. We had to come up with a plan that sort of takes the air out of the balloon, takes a little prop out of the system, stands by our partners and we feel like where we set it Corey is really solid.
Corey Greendale: And if you look at the notional model of the business, based on where we are today, are you still comfortable with a model that says that maturity programs are doing the 300 to 500 per year?
Christopher Paucek: Yeah. We thought that was a really interesting part of the analysis of the whole thing. It's clear that like, on some level, some of the programs that got really big, probably in our best interest overall, to hit our 300 to 500, and not drive every program to its maximum size. And it's clear that the top ones have come down. Now at the same time, if you exclude the top five, it's also clear that the next 10 are really going great. So, you end up with this sort of clarity that the average, we like, we feel very good about the 250 still, we don't feel like we have any reason to not believe that that's well within our opportunity set. We feel strong about the ranges. But it's clear that the big ones did come down.  So, once again felt like we should call it, consider that at IPO in 2014, two programs at one school were about 75% of our revenue. So, I feel like the business interestingly has -- we've been able to sustain the business during a time period in which we had extreme customer concentration. And I actually do think that overall, there's, not to paint the silver lining of a guy down, we recognize that we are bringing down the estimates. But when you think about where we are, to be at 0.5 billion, to have this segment solidly at 25, this kind of growth with a lot less reliant on any single program, and therefore, the whims of any single program, I just think makes us a lot less risky, candidly, and makes it less risky for the leaders here that are managing it.
Operator: And our next question comes from the line of Jeff Meuler with Baird.
Jeff Meuler: I guess, Chip, what gives you confidence that not only is the cost per lead at the top of the funnel not eroding, but I'm more focused on the quality of the students coming into the top of the funnel that they're as good of a quality of prospect as they’ve historically done.
Christopher Paucek: So, we hit both those points pretty hard because we have really good data for both. And, not only is prospect generation solid and high. It's at a cost that's totally within line and in a lot of places lower. We didn't spend a ton of time getting into GPA on the call, but just as a data point in support of quality, it's pretty reasonable based on the data we have. And we have a lot of data to say that the overall quality is probably up a bit oddly, which is one of the reasons why it's pretty hard to make this call.  You could argue that and even further, the marginal students have historically performed very well in the programs. So this is not a story of students not performing. And therefore, maybe they shouldn't have been let in, so that at times makes it difficult. But, I've been running this company for a long time, and I learned a long time ago, the more you're hitting on this particular metric with the school, it's just -- it doesn't create the right dynamic between us and the university. It's not our calls there. And so, it makes it hard at times. I also will tell you, Jeff, it makes it very clear.  Anybody dealing in our segment of higher ed will overtime have to deal with this and it's also something that we do like about our professional certificates category is those tend to have much better admit rates overall. So, we are diversifying the business in a pretty substantial form, not even just with Trilogy and GetSmarter, which obviously are very different, but the professional certificates and you'll see more of those where we've had quite a bit of interest from our clients. Those open the funnel up a little bit on this metric. So we like that.
Jeff Meuler: Okay. And then just given that, as you stated, it's a long cycle accumulation model from a revenue perspective, then it sounds like the new enrollment trends are softening. And then on top of that, I think you're going to be pulling back on marketing spend going forward, based upon the margin expansion commentary. You previously gave some multi-year growth targets. I'm assuming those are off the table, but just curious if you can help us understand how much you’re expecting them to reset lower?
Christopher Paucek: Well, Jeff, we've kind of reset the number at 25. And in part, we are dealing with the fact that long ago, we gave long term expectations on a segment basis because we were worried about a reaction to an acquisition. And the reality is at this point, we do feel like we've reset them solidly. You can obviously see the cadence. And with that cadence, you can have your own estimates as to what you believe will happen. But at this point, giving out year guidance on a segment basis, we believe is not the right call. Now, to be clear, we do feel like we did reset this in a way that we feel very solid about.
Jeff Meuler: And the resetting the 25, that's only applicable to 2019. We shouldn't be inferring that you're saying anything beyond 2019 with that recalibration, correct?
Christopher Paucek: Sorry, say that again.
Jeff Meuler: Yeah, the 2015 -- or the 25% growth rate recalibration, that's only a comment on 2019. Not a recalibration of an ongoing growth rate, correct?
Christopher Paucek: That is only a comment for 2019. It is not a recalibration for the future. And to be clear, our launch cadence is a factor in what we will think will happen in the out years.
Operator: And our next question comes from the line of Brian Schwartz with Oppenheimer.
Brian Schwartz: Kind of following up on the topic of the last question, Chip, you've always talked about the business as being a 30% plus grower here for the foreseeable future, is that still your kind of vision and expectation?
Christopher Paucek: Yeah, I mean, we did give consolidated guidance of 30%. So we still feel like that's where we are. You can -- you obviously heard a lot of commentary, Brian, about consolidated because we are -- we think, kind of overnight, we became the market leader in alternative credentials and we feel like people may just not understand what that is, when we had them just labeled as short courses, and do feel like we haven't really had much investor focus on that segment. And we think that segment is a pretty meaningful long term growth lever and pretty critical to the future of higher ed, to the future of lifelong learning.  We think it substantially improves our enterprise opportunities. And there's a very different selectivity and price point to it. So you look at all across the board, we feel like a diversified 2U really nicely. And that's part of the reason that Cathy gave some color on what we think will happen for profitability in that segment. It is a segment that should not be ignored. Now, at the same time, Grad segment grown at 25 this year off of the base that it is still higher growth than most people in our segment, most people in our space. So, we do think it's right to sort of give this reset, but we feel very bullish about the long term prospects for the company on both sides, grad and alternative credentials.
Brian Schwartz: And then Chip, just kind of moving forward throughout the year, throughout the year, I'm sorry. Can you give us confidence on how you're going to manage? Clearly, you're having the reset that you're talking about today, so, your back is going to be up the wall -- against the wall here for the next several quarters. At the same time, you are going to be closing and having to integrate Trilogy, which is by far here the largest acquisition in the company's history. Can you kind of talk through here how you'll be able to handle both of those things without getting distracted between one or the other.
Christopher Paucek: I believe Brian, I would actually say our back is not up against the wall. It's kind of the opposite. It’s part of the reason we're doing this is for our team, this is not a story about growth over everything else. It's a story about setting a really reasonable agenda for the company, standing by our partners, and still delivering pretty fantastic growth overall, while we bring in what is the transformative company and team into our broader -- into the broader 2U. The opportunities across both the 2U clients and the Trilogy clients for cross selling is non-trivial. We knew that this call, that the balance of this call will be talking about the grad business.  We didn't want to spend too much time talking about the Trilogy acquisition because we didn't want to be accused of, these aren't the droids you're looking for to move along. But the reality is, we are really excited about what that all means together. And as we close it, which is pretty imminent, we will be able to give much more color about the plans, about how we integrate the company, and more importantly, about the larger opportunity. Because when you start looking at next year, and you get into what the consolidated growth looks like for next year, it's pretty damn impressive. So, we just didn't want to shy away from the grad business. But interestingly, Brian, I do think it's sort of -- it's the opposite. It doesn't put our backs up against the wall. It allows us to have reasonable growth that is totally achievable, that we know exactly how to go get, while we integrate Trilogy.
Brian Schwartz: And then Cathy, if I could just ask you two quick questions here on the balance sheet. One was just a line item. Just a clarification, I hadn't seen before it was the right of use to assets. I was just kind of curious what that was. And then the second question is, I am wondering if you can just help us at all with an approximation of what you think the cash and the debt balance will look like on the balance sheet after the Trilogy deal closes. Thanks.
Cathy Graham: Okay. So the right of use assets are around lease accounting. So we had to adopt the new lease standard in the first quarter. So that's what those are related to. Brian, can you give me your second question again?
Brian Schwartz: Yeah, it was just a little help as we forecast out our balance sheet. So if you had any idea what the approximation of the cash and the debt balance will look like on the balance sheet after the Trilogy deal closes.
Cathy Graham: We're not putting forward that kind of forecast at this point. But what I will tell you is that we do believe that we will be fully funded, following the acquisition to get the company to cash flow, self-sustaining.
Operator: And our next question comes from the line of Peter Appert with Piper Jaffray.
Peter Appert: Cathy, I think you said and please correct me if I've got this wrong that to protect the margin in the context of slower enrollment growth, one of the things you do would be to trim marketing spend. And so the question is, it seems like that could be a little bit of a slippery slope in terms of the overall sustainable revenue growth rate. So can you expand maybe on your thinking around that?
Christopher Paucek: So Peter, I would say, this is Chip, that there are categories of students that when schools aren't going to accept them, you don't market them? So you should think about that cleanly. Like if it's clear that a school is not going to take somebody at a certain GPA level, then you just don't market to them. So that's how you save the money there.
Peter Appert: Okay. And then Chip, you said, perhaps you would prioritize growth too much. And I'm wondering if a corollary to that is maybe under emphasis on profitability. Does it suggest any shift in terms of your focus here in terms of trying to drive the profitability metrics over the next couple of years?
Christopher Paucek: Yes, it does. So, the reason that I gave the line that I'm personally committed to steering towards overall margins is, we think at this point, that is the right way to think about the business. Long term, we think that thinking about the way Viva runs their business over time, certainly not this year, but over time is super interesting and useful.
Operator: And our next question comes from the line of Brad Zelnick with Credit Suisse.
Brad Zelnick: Excellent. Thank you so much for fitting me in and Chip, Cathy, really appreciate the transparency as to what's happening with the graduate side of the business. And I'm just trying to square up some of the comments that you've made, for example, with students or applicant quality, actually getting better top of the funnel? I'm trying to then understand why the greater selectivity, not even just in certain universities, but across the board. And what's driving that, is it simply a desire to protect their on campus offerings, and as well as there may be a broader shift in the leadership of some of these universities, rethinking the online programs more holistically, or is it nothing of this sort?
Christopher Paucek: Yeah, unfortunately -- I mean, Brad, I appreciate the question. Overall, we have a lot of partners now. So for us to make this call, we've seen it across enough that that's notable in and of itself. We don't really believe it's related to their campus programs in general. Clearly as schools have gotten larger, it does become easier when you have a long list of applicants coming in for selectivity to sort of gradually increase. That's something we're definitely seeing. And, when we were debating, how to handle this, one of the tricky things about our model being very predictable is it's entirely possible that admit rate goes the other way and gets better on us.  And then we end up in a situation where we go through this reset and -- but we felt like we had enough data, that it was important just to get ahead of it, and call it, particularly in terms of how it will impact this year. You should know historically, this is definitely the hardest number to predict. It always has been, going back to our venture back days. I had many a board meeting, where this was a pretty big discussion, because we had, one or three or four partners and any change to a particular cohort was devastating at the time. It's not anymore.  And we have to sort of stand by them. Now, one of the questions around the table here, 2U for some time is, has the overall sort of tenure of what's happening in higher ed right now with regard to the scandals, has that impacted things? It's entirely possible. We don't have quantitative data to tell you that, but certainly a lot of qualitative. So, entirely possible. There have been some leadership changes.  Once again, leadership change, to be candid, is something that has happened over our history. And it has worked for us more often than worked against us. We happened to be in a little bit of a period here where we've had some that's really worked against us. And to my partners out there that are listening, we are definitively standing by the schools. That's really what this is about. So, we kind of just have to deal with it, roll it forward and, drive the best possible growth we can. And, as I mentioned, I do feel like we've hit -- we've leveled it at a place that we feel very comfortable.
Brad Zelnick: And maybe just as a quick follow up, and as we try to wrap our heads around what you're seeing out there. Can you give us a sense, how many programs are actually being more selective? Is it the majority, is it 90%, any way to contextualize this?
Christopher Paucek: I would say, I really think it's probably I’ve learned the hard way over the years, but getting into details about my clients’ businesses, I think is a little tricky. I will tell you that this is not an isolated couple of programs that we're talking about. So, it was brought enough that we did this. So that might be in and of itself somewhat self-explanatory.
Operator: And our next question comes from the line of Jeff Silber with BMO Capital Markets.
Henry Chien: It’s Henry Chien calling for Jeff. Just a quick one. Just a quick follow up on a lot of this questioning around the slowing growth is, just for 2020 and not looking for guidance or anything, does that step down in for ’19, does that get worse in 2020 or is it stable? Or just how you’re thinking about, I guess, 2020 or whether it's just a temporary blip or not?
Christopher Paucek: Yeah, just to reiterate, we feel like we've said it in a place that we're very comfortable. And I think you do have to factor in the cadence increase in terms of what that will do longer term. So at this point, we're not going to give you estimates for 2020. But, we're trying to give you enough color to understand where -- how we feel today that we've set it in a place that we feel like we can build up from here.
Operator: Thank you. Ladies and gentlemen, this concludes today's Q&A session. I would now like to turn the call back over to Chip Paucek, CEO and Co-Founder, for any closing remarks.
Christopher Paucek: We'll see everyone out on the road, we wanted to offer quick congratulations to our VP of Investor Relations, Ken Goff who has been accepted into the UFC Integrated Master of Design. Congratulations, Ken. All right. We'll talk to everybody out on the road.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone, have a wonderful day.